Operator: Ladies and gentlemen, thank you for standing by. My name is Colby, and I'll be your conference operator today. At this time, I would like to welcome you to the SkyWest, Inc. Third Quarter 2025 Results Call. [Operator Instructions] I will now turn the call over to Rob Simmons, Chief Financial Officer.
Robert Simmons: Thanks, Colby, and thanks, everyone, for joining us on the call today. As the operator indicated, this is Rob Simmons, SkyWest's Chief Financial Officer. On the call with me today are Chip Childs, President and Chief Executive Officer; Wade Steele, Chief Commercial Officer; and Eric Woodward, Chief Accounting Officer. I'd like to start today by asking Eric to read the safe harbor, then I will turn the time over to Chip for some comments. Following Chip, I will take us through the financial results, then Wade will discuss the fleet and related flying arrangements. Following Wade, we will have the customary Q&A session with our sell-side analysts. Eric?
Eric Woodward: Today's discussion contains forward-looking statements that represent our current beliefs, expectations and assumptions regarding future events and are subject to risks and uncertainties. We assume no obligation to update any forward-looking statement, whether as a result of new information, future events or otherwise. Actual results will likely vary and may vary materially from those anticipated, estimated or projected for a number of reasons. Some of the factors that may cause such differences are included in our most recent Form 10-K and other reports and filings with the Securities and Exchange Commission. And now I'll turn the call over to Chip.
Russell A. Childs: Thank you, Rob and Eric. Good afternoon, everyone. Thank you for joining us on the call today. Today, SkyWest reported net income of $116 million or $2.81 per diluted share for the third quarter of 2025. These results reflect a seasonally strong third quarter and ongoing strong demand for our products. Year-to-date through the third quarter, SkyWest has achieved more than 185 days of 100% controllable completion, a significant accomplishment with over 2,500 daily scheduled departures. Our people continue working with focus and teamwork to plan, execute and deliver an exceptional and consistent product. I want to thank our team of nearly 15,000 aviation professionals for their continued teamwork and dedication to excellence. Our teams have delivered well despite the ongoing federal government shutdown in navigating the challenges of a strained ATC system with professionalism and vigilance. We're working with each community we serve and evaluating our capabilities in the event of a longer-term government shutdown. It is our intent to honor our service commitments, including those under the Federal EAS program who rely on SkyWest reliable air service as an essential economic lifeline. Also during the third quarter, the Department of Transportation finalized SkyWest Charter or SWC's commuter authorization. This approval comes after a lengthy review process that took over 3 years, and we look forward to the future opportunities this authorization will provide. SWC is in the midst of busy sports charter season and we are evaluating additional opportunities this commuter authority will provide. You'll recall last quarter, we announced an agreement to purchase and operate 16 new E175s under a multiyear contract with Delta, with deliveries expected to begin in 2027. We also secured firm delivery positions with Embraer for 44 more E175s from 2028 to 2032. As we shared previously, it is our intent to deliver those aircraft. These agreements continue to deliver unparalleled fleet flexibility for the future, and that flexibility has never been more important. With today's announcement to extend CRJ200s with United and our continued deployment of additional CRJ550s for our partners, we expect our existing CRJ fleet to produce accretively well into the next decade. In the near term, we anticipate our remaining Embraer deliveries scheduled for this year will be delivered in fourth quarter or early 2026. Demand for our product is very strong, and SkyWest continues to lead our segment in the industry in service and in the value of our diverse assets. We remain disciplined and steady as we execute on our growth opportunities to: one, restore or bring new service to underserved communities; two, redeploy and fully use our existing fleet; and three, prepare to receive our deliveries in the coming years for a total of nearly 300 E175s by the end of 2028. We have spent several years strengthening our balance sheet and fleet flexibility as well as reinvesting in our future growth. Overall, with our well-positioned fleet operation and our strong partnerships and demand, we remain optimistic about 2026. We continue to play the long game and to invest in our fleet and future to ensure we are in the best possible situation to respond to market demands. Rob will now take us through the financial data.
Robert Simmons: Today, we reported a third quarter GAAP net income of $116 million or $2.81 earnings per share. Q3 pretax income was $157 million. Our weighted average share count for Q3 was 41.4 million, and our effective tax rate was 26%. Let's start today with revenue. Total Q3 revenue of $1.1 billion is up from $1 billion in Q2 2025 and up 15% from $913 million in Q3 2024. Q3 revenue includes the contract revenue of $844 million, up from $842 million in Q2 2025 and up from $761 million in Q3 2024. Prorate and charter revenue was $167 million in Q3, up from $145 million in Q2 and up from $123 million in Q3 2024. Leasing and other revenue was $39 million in Q3, down from $48 million in Q2 and up from $29 million in Q3 2024. These Q3 GAAP results include the effect of recognizing $17 million of previously deferred revenue this quarter, down from the $23 million recognized in Q2 2025. As of the end of Q3, we have $269 million of cumulative deferred revenue that will be recognized in future periods. We anticipate recognizing approximately $5 million to $15 million of previously deferred revenue in Q4, subject to production levels and other factors. Now let's discuss the balance sheet. We ended the quarter with cash of $753 million, up from $727 million last quarter and down from $836 million at Q3 2024. The ending cash balance for the quarter included the effects from: one, repaying $112 million in debt; two, buying back 244,000 shares of SkyWest stock in Q3 for $27 million. With the volatility in the equity markets in Q3, we opportunistically repurchased 25% more shares than we bought in Q2. As of September 30, we had $240 million remaining under our current share repurchase authorization. And three, investing $122 million in CapEx, including the purchase of used CRJ aircraft spare engines and other fixed assets. We ended Q3 with debt of $2.4 billion, down from $2.7 billion as of 12/31/2024. Cash flow is obviously an important component of our capital deployment strategy. We generated approximately $500 million in free cash flow in 2024 and deployed it primarily to delever and derisk the balance sheet to the benefit of our partners, our employees and our shareholders. We generated nearly $400 million in free cash flow in the first 3 quarters of 2025, including $144 million in Q3. Our balance sheet and strong liquidity are powerful tools as we pursue a variety of growth and capital deployment opportunities, including acquiring and financing 30 additional E175s to be placed under our flying agreements by the end of 2028 and repaying approximately $500 million in debt in 2025. As we remain focused on improving our return on invested capital, we'd like to highlight the following: both our debt net of cash and leverage ratios continue at favorable levels at their lowest point in over a decade. Our total debt level is $1 billion lower today than it was at the end of 2022 in spite of acquiring and debt financing 9 E175s during that time. We anticipate that total 2025 capital expenditures funding our growth initiatives will be approximately $550 million, including the purchase of 5 new E175s, CRJ900 airframes and aircraft and engines supporting our CRJ550 opportunity. This implies approximately $190 million in CapEx in Q4. We are scheduled to take delivery of 3 E175s in Q4 2025 and 11 E175s during 2026. We expect approximately $575 million to $625 million in CapEx in 2026. Consistent with our policy and practice, we're not giving any specific EPS guidance today, but let me give you some updated color on Q4 and some commentary on 2026. We now anticipate our 2025 block hours to be up approximately 15% over 2024. We now expect our 2025 GAAP EPS could be in the mid-$10 per share area for the year. This implies Q4 EPS in the $2.30 area. For 2026, we expect to see low-single-digit percentage growth in block hours translate into mid-to-high single-digit percentage growth in EPS in the area of $11. For modeling purposes, we anticipate our maintenance activity in 2026 will continue approximately at current rates as we invest in bringing more aircraft back into service. We also anticipate our effective tax rate will be approximately 26% to 27% for Q4 and in the area of 24% for 2026. We are optimistic about our growth possibilities going into 2026, including the following 3 focus areas: First, growth in our ability to increase service to underserved communities, driven partially by the redeployment of approximately 20 parked dual-class CRJ aircraft; second, good demand for our prorate product; and third, placing 14 new E175s into service for United and Alaska by the end of 2026 and 16 new E175s for Delta in 2027 and 2028. We believe that our strong balance sheet, operating leverage, free cash flow and liquidity and the actions we will be taking to deploy our capital against a variety of accretive opportunities will position us well to drive total shareholder returns. Wade?
Wade Steel: Thank you, Rob. Last quarter, we announced a new flying agreement with Delta for 16 new E175s under a multiyear flying contract. The 16 new E175s are expected to replace 11 SkyWest-owned CRJ900s and 5 CRJ700s that we are currently operating. We expect the 16 new E175s will be delivered in 2027 and 2028. We expect to redeploy the 16 SkyWest-owned CRJ aircraft with our major partners. We also currently operate 24 Delta-owned CRJ900s. We anticipate most of these aircraft will be returned to Delta over the next couple of years and are preparing to return 4 of them during the fourth quarter of this year. Today, we announced an agreement with United to extend up to 40 CRJ200s into the 2030s. These aircraft were set to expire at the end of this year, and we are pleased that the continued -- we are pleased with the continued strength of our United agreement. As we previously announced, we have a multiyear flying agreement for a total of 50 CRJ550s with United. As of September 30, we had 21 CRJ550s under contract and expect to operate 30 by the end of this year, with the last 20 entering into service during 2026. We also have 20 E175s coming up for contract extension in 2026 with United. We are currently in discussions to extend these aircraft and look forward to enhancing our partnership with United. We also began a prorate agreement with American during the second quarter. We are currently operating 4 aircraft under this agreement with up to 9 anticipated by the middle of next year. We are very excited to expand our relationship with American. We currently have 74 E175 on firm order with Embraer, including 16 for Delta, 13 for United and 1 for Alaska. We expect delivery of 3 aircraft during the fourth quarter and 11 next year. We did not receive any E175s during the third quarter. And as we continue experiencing delivery delays with Embraer, we expect that some of the aircraft previously planned for this year will push into 2026. Let me talk a little bit more about our firm order of 74. Of the 74, 30 are allocated to major partners and 44 have not been assigned yet. Our long-term fleet plan has positioned us well and re-fleeting continues to be an important part of that strategy. This order locks in delivery slots starting in 2027 through 2032. However, the order is structured with good flexibility to defer or terminate the aircraft in the event we don't arrange for a partner to take them. After we finish the Delta deliveries expected in 2028, our E175 fleet total will be nearly 300, continuing to enhance SkyWest's position as the largest Embraer operator in the world. Let me review our production. Q3 block hours were up 2% compared to Q2 2025. Based on our current Q4 schedules from our major partners, we anticipate a 4% decrease in Q4 as compared to Q3. This decrease is due to the normal seasonality we see in our business. For the full year, we anticipate an increase of approximately 15% in 2025 compared to 2024, similar to our 2019 levels. We anticipate that our 2026 block hours will be up low-single-digits compared to 2025. For 2026, we anticipate taking delivery of 11 new E175, placing 20 CRJ550s into service and capitalizing on strong prorate demand. These increases are offset by the return of approximately 24 Delta-owned CRJ900s over the next couple of years. Our revenue seasonality has returned to the model as utilization improves during the strong summer months. We still have approximately 20 parked dual-class CRJ aircraft that will be returned to service. Many of these aircraft are currently under flying agreements and will begin operating in late 2025 and 2026. We also have over 40 parked CRJ200s, further enhancing our overall fleet flexibility. Under a previously announced agreement with another regional carrier, we expect to purchase 30 used CRJ900 airframes for $29 million. We expect to utilize many of these airframes for parts to mitigate any supply chain challenges we may face over the next few years. We do anticipate operating 6 of these aircraft in the future. As of September 30, we had closed on 18 of these aircraft. As far as our prorate business, demand remains extremely strong with great community support. We are seeing opportunities to return SkyWest service to several communities and we will continue to work with the airports we serve in the best way to expand our service. As we discussed last quarter, the increase in our prorate business will reintroduce more seasonality into our model. Consistent with the airline industry, we expect Q2 and Q3 to be strong revenue quarters and Q1 and Q4 are softer. We feel good about our ongoing efforts to reduce risk and enhance fleet flexibility and remain committed to continuing our work with each of our major partners to provide strong solutions to the continued demand for our products.
Robert Simmons: Okay. Operator, we're now ready for our Q&A session.
Operator: [Operator Instructions] Your first question comes from Tom Fitzgerald from TD Cowen.
Thomas Fitzgerald: It seems like a really constructive outlook for 2026. I was just wondering if you'd mind walking us through some of the puts and takes on the fleet and the mix benefit you guys get as you bring on more E175s and then some of the CRJs come out.
Wade Steel: Yes. Tom, this is Wade. I can give you a little bit more color on that. As we talked about, we still have CRJ550s that are parked or being transitioned. So we still have -- by the end of the year, we think there'll be additional 20 that we'll put into service during 2026. We have 14 more E175s that need to go in. 3 of them, we believe, will go in, in the third -- or in the fourth quarter of 2025 and then 11 more in 2026. And then we also have strong prorate demand. As we said, we believe there'll be some increase in our prorate flying during 2026. Some of those will be offset -- some of those increases will be offset by some of the Delta-owned CRJ900s that we have that will be going back to Delta, and we've already started returning a few of those, and we think 4 of those will go back by the end of this year. So I hope that helps, Tom.
Thomas Fitzgerald: Yes, yes. That's very helpful. And then I guess maybe just on prorate, where -- as a percentage of like where you were pre-pandemic, I just wonder if you'd mind updating us on where prorate stands today? And then I guess maybe unpacking a little bit more like the opportunities you see next year.
Wade Steel: Yes. So we're about at 70% of where we were at in 2019 pre-pandemic. We're seeing strong demand throughout the whole country on prorate. There's still a lot of opportunities with small community service, both enhancing frequency and then also restoring dots on the map. And so we are working with each of our major partners on prorate agreements. As I said, we do a lot of that for United. We also have started an agreement with American. We also do that with Delta as well. So all of our major partners, we're working with them on additional dots on the map. And so we're excited about the opportunities that are in front of us and we'll continue to execute on those.
Operator: Your next question comes from the line of Mike Linenberg from Deutsche Bank.
Michael Linenberg: Chip, can you just update us on the EAS funding? I think the last I heard was that they had found money that would get you into November. Where -- what's the latest on that? They seem to be finding pockets of money from various activities, whether it's the military or whatever. Where do we hit the wall on that? And then what's the mechanism if you continue to fly and serve but not receive a subsidy? What's the recourse for like SkyWest to get -- to ultimately get repaid or maybe not?
Russell A. Childs: Yes, Mike, those are outstanding questions and something that's very pertinent to today. The latest that we've heard is that we believe that there's funding for the program through the 18th of November. So that gives us a lot of good leeway for the government to continue to deal with this shutdown. We've said early on since when it started, like we really value the communities that we serve. We know that through the captain shortages and that type of stuff, it's a difficult process to make sure we're executing on our commitments, but we are committed to the communities as much as we possibly can, not knowing how long this is going to go on. And after the 18, I think the message has been pretty clear. It's unsure if we will get reimbursed or not, but it is clearly our intention to continue to fly and execute on some of the commitments that we've made with these communities. And if it continues to go on without funding after November 18, we'll see what we can do to best serve those communities. But it's going to take a conversation likely, because clearly, the essential air service communities do need the subsidies to make it viable. We're trying to develop them to where they can continue to be stronger and stronger, but we still definitely need those subsidies, and we'll work with the communities depending on how long this shutdown goes. So from that perspective, I hope it's clarifying. We're all over working with our partners and the communities and the associated government agencies that we can do under the circumstances. But as of now, we feel pretty good about at least the current short-term time line.
Michael Linenberg: Okay. Just my second question to Wade. The multiyear agreement with United on the CRJ200s into -- I heard -- I think I heard the 2030s. So obviously, a much longer time frame than I think anybody has anticipated about these airplanes. You currently have 80 with United, 50 under contract, 30 under prorate. Presumably, the 40 that are extended, are those all contract or is that a mix of contract and prorate?
Wade Steel: Yes, Mike, that's a great question. So the 40 that were extended are all contract airplanes. So we'll continue to fly the prorate, expand the prorate. But the 40 contract, as you said, they're extended into the 2030s and we're excited about continuing to enhance our partnership with United on all of that.
Michael Linenberg: Okay. I just to follow-up on that, though, you said expand the prorate. So it sounds like you're going to go from maybe a mix of 50-30 potentially to 40-40. Is that a reasonable potential?
Wade Steel: Yes. Directionally, I think we'll continue to -- as we said, we have 40 parked CRJ200s still available to us. There's still great opportunities. Small communities need air service. So we will continue to find opportunities. But yes, I like your breakdown. I think it's directionally correct.
Michael Linenberg: Okay. And then just my last one. I hate to ask all these questions, but the nuances, there are just so many from this call. The prorates going into American, it looks like they're all CRJ900s, at least, and I want to confirm that. But when I think about your prorate business historically, it was single class with CRJ200s. It now seems like we're moving into a prorate world of dual-class CRJ900s. And as we think about just the upgauging across the industry among all the carriers, it seems like it may be opening up a whole bunch of opportunities in small and medium-sized markets to go in with dual-class on a prorate business. That seems like that's kind of a new angle for you. Can you just clarify or confirm what...
Wade Steel: No, Mike, you're -- once again, you're spot on. You're very good at this. So the American agreement, yes, we are flying CRJ900s and prorate for American. As you know, their scope is a little bit unique. They also have the large RJ scope that could fly in 65 seats. And so if they hit their scope caps in their large RJ, we could obviously transition those still into a 65-seat dual-class fleet. We are also flying CRJ550s, as you said, for Delta under prorate. And so there's great opportunities there as well. So we do like it. We like the model. We like the opportunities and it does expand the opportunity into some different markets with the larger gauge airplanes for sure. So we're excited about what's going on.
Russell A. Childs: Mike, this is Chip. I'll add on to that just real quick. I think you've heard some conversation from our partners about their premium service. Clearly, there's a strong element of what their models are evaluating and within their network of having good premium service throughout their networks. And I think it's being reflected in some of the deals that we're trying to do even in small communities. So your assessment -- is the momentum there is good.
Operator: Your next question comes from the line of Savi Syth from Raymond James.
Savanthi Syth: Actually, just following up a little bit on Mike's question. You addressed the EAS side of the government shutdown. I was curious if there's any other impacts that you're seeing or you're watching because you do fly into smaller communities. And just a little bit tied to that, too, just with the -- I think Brazil is still at a 10% tariff and just if there's any kind of meaningful impact on that or that's just something you're observing?
Wade Steel: Yes, Savi, good question. Thank you so much. To start with, when it comes to TSA and ATC, we really hats off to the work being done with those groups to continue to show up and work and do the things we need to, to keep the NAS system operational. From our perspective on the small community [ stepping ], I mean, like I think we've said before, we fly to a lot of untowered airports. So from our perspective, a lot of our small community flying is actually not affected. But when you go back into the hub, it's every bit as affected as everything else. So look, we monitor all of the things that we do with our major partners along the same lines. We're in constant conversation with the authorities as well as with our partners to manage these operational challenges with the shutdown. And hats off to our people as well. They're doing a fantastic job. The team is doing a great job. And so far, things are really, really well. Relative to the 10% tariff, Brazil, I think the last time we were talking on the call, it was at 50%, and that was a no-go absolutely for us. We do not like 10%. But nonetheless, we have an environment where we've got to continue to execute on some of the commitments that we have, but also be strategic in how we're continuing to deploy our capital. And so far, we're going to continue to give our opinion about what the tariff is doing to small community service as well as us as a company. But at some point, you still have to continue to move forward and do the best that you can. And so it's not that we've accepted the 10% tariff, but in our strategy as of today, we are dealing with it. And I think that's what we would say is that we're dealing with it. But from our perspective, we do believe that this does have an impact on small community service in the long run. But our job is to be the best in the industry evolving, and we'll continue to evolve with some of these issues.
Savanthi Syth: That's helpful. And just actually another follow-up on Mike's question as well. Just on the CRJ200 front, they are getting long in the tooth, but you're also having these opportunities, whether it's SkyWest Charter or continuing to operate them on the kind of the 50-seat side. Could you talk about like just if you look out to like '27, '28 or particular year -- a couple of years down the road, just where could we see that fleet size be considering that some probably have to get retired or maybe they don't. But just curious across the network, like how big do you see the CRJ fleet being or a range for it?
Wade Steel: Savi, that's a great question. This is Wade. We just announced today, we extended 40 of those through the early 2030s. The prorate demand is still very strong that we have today in SkyWest Charter, the demand is very strong in all of that. So between all of that, we do anticipate flying somewhere around 100 CRJ200s well into early 2030s. We're investing in maintenance. We've invested in these engines. A few quarters ago, we were talking about 5 million cycles that we have on those engines that we still have. We've obviously reduced that number as we continue to fly, but we have definitely made a lot of investments in that airframe to continue to make that work and continue to have it go. We're also investing in the customer experience and other things on that. So we're -- we think that airplane, the CRJ200, is going to go for well into the 2030s.
Operator: Your next question comes from the line of Duane Pfennigwerth with Evercore ISI.
Duane Pfennigwerth: Just focus on the contractual capacity purchase business. I wonder if you could speak more comprehensively about net fleet additions for 2026. You noted the 11 E175 deliveries in the table. You talked about 20 additional 550s. I understand there can be movement between now and next year. But based on what you know today, what else will be added? And what will likely be rolling off? How do we think about that net fleet change?
Wade Steel: Yes. No, that's a great question. We talked about it a little bit in my prepared remarks. Like you said, we have 20 CRJ550s that are on the books that are coming in next year. We have the 11 E175s. And then we have the 24 Delta-owned airplanes that are coming off over the next couple of years. So net-net, it's flattish to small increases in our capacity purchase flying next year just when you net it all up. So small -- like we said in my prepared remarks, it's low-single-digit growth next year in the block hours.
Duane Pfennigwerth: Got it. Got it. And then in the table, I wonder for the deliveries, do those numbers -- like are there options embedded in that 40 or are there options over above the numbers in that table?
Wade Steel: You're talking about the CRJ200s, the 40?
Duane Pfennigwerth: Sorry, the E175s. Are those firm orders or are there options embedded in the future? This 40 and the 10 for 2028 and the 40 thereafter, do those include options?
Wade Steel: Those do not include options. Those are firm orders. Those will be very helpful in fleet replacements and continuing to enhance the fleet. So those are all firm orders. We do have flexibility. They are not allocated to our partners yet. There -- I said in my prepared remarks that there are 44 of those that have not been allocated at this point. And so we'll continue to work with our partners to allocate those, but we do have flexibility if we do not get them allocated to a partner to defer or cancel those. But they are firm orders going through 2032.
Duane Pfennigwerth: Great. And then just one last one. Does the mid-to-high single-digit EPS growth guidance for '26, what does that assume around about incremental buyback, if anything?
Robert Simmons: Yes, Duane, this is Rob here. So in terms of the EPS denominator, we'll continue to be opportunistic as we have been in the past. As you've seen, this quarter, we bought -- in a fairly volatile market, we bought another 25% more shares than we did the quarter before. So it will depend on the markets, but we'll continue to be opportunistic in how we look at deploying capital against share repurchase.
Operator: And with no further questions in queue, I would like to turn the conference back over to Chip Childs, CEO, for closing comments.
Russell A. Childs: Thank you, Colby. I appreciate really everybody's interest in the call today in the quarter. We obviously had a very good quarter. We've got some good challenges ahead of us. I want to reiterate that we continue to play the long game and make sure that some of the current effects that are happening to the industry do not affect our long-term strategy. We know that we can evolve with the best aviation professionals in the world, continue to do the things in which we need to, to provide good shareholder value as well to that as our partners. And with that, we will end the call and see you next quarter. Thank you.
Operator: This concludes today's conference call. You may now disconnect.